Operator: Greetings and welcome to AgroFresh Solutions Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jeff Sonnek with ICR. Please go ahead.
Jeff Sonnek: Thank you and good afternoon. Today's presentation will be led by Clint Lewis, Chief Executive Officer; and Graham Miao, Chief Financial Officer. Comments during today's call and the accompanying presentation contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts are considered forward-looking statements. These statements are based on management's current expectations and beliefs, as well as a number of assumptions concerning future events. Such forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from the results discussed in the forward-looking statements. All of these risks and uncertainties are identified and discussed in the company's filings with the SEC. We'll also refer to certain non-GAAP financial measures today. Please refer to the tables included in the slides accompanying this presentation as well as the press release, which can be found in the Investor Relations section of our website, agrofresh.com, for reconciliations of non-GAAP financial measures to their most directly comparable GAAP measures. With that, I'd now like to turn the call over to Clint Lewis.
Clint Lewis: Thank you, Jeff and welcome to everyone on the call. I'd like to begin by commenting on the 8-K that we released on October 27, disclosing that a special committee of the AgroFresh Board of Directors is in discussion with one of our existing stakeholders, Paine Schwartz Partners to explore a potential transaction in which the company would be taken private, with $3 per share in cash. Naturally, there are surely many questions surrounding the potential outcomes from this discussion. But aside from noting that we are working together on this project in the best interest of all shareholders, and cautioning stockholders that no agreement will be created unless definitive documentation is executed and delivered, we will not be able to provide any additional information or speculate on potential paths forward. This development in no way impacts our day-to-day operations. And as far as this team is concerned, it's business as usual. We will continue to keep you updated on any material developments with regard to this proposal when we can. Now, on to my remarks for our third quarter performance. The third quarter marks the beginning of our Northern Hemisphere season. We posted third quarter operational revenue growth of 3.1% to $47.8 million on a constant currency basis, despite weather-related events in North America that impacted crop size and delayed the harvest season. As has been noted by many numerous companies with international market exposure, foreign currency has also become a significant headwind given the continued strengthening of the US dollar versus other currencies. For AgroFresh, the impact of foreign exchange is material given that almost 80% of our business is transacted outside of the US. For example, the mayor region comprises approximately 50% of our annual revenues. And this is particularly significant in the second half of the year, given the alignment of growing regions to the Northern Hemisphere. Despite the impacts of weather and foreign exchange, we continue to advance our diversification strategy. I'd now like to review the business drivers for the quarter ended September 30th, 2022, which marks the beginning of our Northern Hemisphere season and to further assist your understanding of our business and monitor the progress of our strategy to grow through diversification, we're providing you with additional disclosures on both a geographical and product solutions basis. The details can be found in our supplemental earnings deck on our Investor Relations website. Beginning with diversification, remember, we defined our diversification category as the components of our business, excluding SmartFresh for Apple, which covers all other crops, solutions, and technologies. On a reported basis for the 12 months ending September 30th, 2022 diversification revenues grew 12.7% On an operational or constant currency basis, growth was 17%. Diversification now represents 44.5% of consolidated reported revenues for the trailing 12 months ended September 30th, 2022 compared to 41.3% in the prior year period. This marks our seventh consecutive quarter of double-digit diversification category revenue growth. From a geographical perspective, looking at our performance for the third quarter, our EMEA region generated 23.3% constant currency revenue growth, or an increase of $6.2 million versus the prior year period, which was the largest contributed growth for the quarter growth was led by the early timing of smartphone sales in Europe. On the registration front, I'm pleased with the granting of emergency use permits again this year for Harvista in markets such as Eastern Europe, Italy, and Portugal. Additionally, we were granted registration for Harvista in Ukraine as well. Our Asia-Pacific region, although relatively small, from a revenue dollar perspective, increased 35.4% on a constant currency basis, versus the prior year period, primarily driven by SmartFresh penetration. Sales in the Latin America region increased 1.3% on a constant currency basis versus the prior year third quarter. Our North America region decreased 19%. As I previously noted, this was due to weather-related events that impacted Apple crop size and delayed harvest season, which was partially offset by strong demand for EthylBloc amid the recovering flower industry. From a product solutions perspective, once again, looking at the third quarter and first half of the Northern Hemisphere season, growth was once again driven by leveraging our portfolio of diverse solutions. Our other 1-MCP category, which represents our continued focus on leveraging our SmartFresh franchise, beyond apples, and into other crops and geographies, and includes key solutions such as our Harvista and Apple blog, grew 6.6% on a constant currency basis and contributed $1.3 million of growth. SmartFresh diversification growth was led by pears and mangoes in China and Brazil respectively. Our EthylBloc solution was particularly notable, with growth of approximately 80% on a constant currency basis, fueled by the flower industry recovery. Our coatings category grew 59.3% in the third quarter on a constant currency basis and contributed $0.5 million of growth on a smaller revenue basis. Our fungicides and disinfectant category was essentially flat on a constant currency basis in the third quarter versus the prior year period. performance was impacted by softness in fungicides for citrus in Brazil, partially offset by antimicrobials growth in Turkey. Rounding out our diversification categories is the other category, which includes our Control-Tec equipment solutions, and our FreshCloud digital platform. While the other category is small on a relative basis, it nearly doubled in the quarter and contributed $0.2 million of growth, mainly driven by Control-Tec. Our SmartFresh for Apple category increased 5.6% on a constant currency basis in the third quarter versus the prior year period, driven primarily by growth in EMEA and APAC, which was partially offset by the weather-related and timing of sales impacts in North America. In summary, despite significant foreign currency headwinds and weather-related impacts in North America, we delivered solid growth for the quarter on a constant currency basis. Our team remains focused on delivering solutions that ensure our customers can provide a consistent supply of high quality fresh produce. This quarter has also been a busy one with respect to connecting with customers and other industry stakeholders. My leadership team and I participated in two of the largest global industry trade shows through traction in Madrid, Spain, and the International fresh produce Association meeting in Orlando, Florida. The key takeaways from both of these conventions is that the broader global fresh fruit and produce industry is vibrant, vital, and growing. That the post-harvest segment is equally important and vital to the industry's continue to grow. AgroFresh is well-positioned and highly regarded as an industry leader. It is also clear that new innovation will be required and AgroFresh is positioned well to expand our portfolio and range of solutions that we can bring to market to continue to support this vibrant and vital industry. As we look to the balance of the Northern Hemisphere season, we will continue to navigate the broader macro challenges. While we remain focused on delivering growth for the full year by continuing to advance our diversification strategy. I'll now pass the call to Graham to speak to some of the financial highlights. Graham?
Graham Miao: Thank you, Clint and good afternoon to everyone. The third quarter starts our Northern Hemisphere season. As a reminder, our business should be viewed in halves versus quarters to consider seasonal fluctuations that can shift sales between the quarters of each half of the year. Net sales for the third quarter of 2022 decreased 2.9% to $47.8 million compared to $49.2 million in the third quarter of 2021. Excluding the impact of foreign currency exchange, revenue increased 3.1%. As Clint discussed, the net sales increase was primarily driven by leveraging our product portfolio of diverse solutions. Sales were driven by the early timing of sales in EMEA and a strong demand for EthylBloc amid the recovering flower industry. SmartFresh for Apple grew in EMEA, Latin America, and APAC, which was partially offset by North America. For the nine months ended September 30th, 2022, net sales were $113.4 million, an increase of 3% versus the prior year period. The impacts of foreign currency increased revenue by $5.6 million for the first nine months of 2022. Excluding this impact, revenue increased approximately 8.1% driven by leveraging a portfolio of diverse solutions On a constant currency basis, each of the company's diversification categories generated growth in a nine months ended September 30th, 2022, led by anti-microbials and coatings, market penetration and expansion in EMEA. SmartFresh diversification and EthylBloc contributed to growth in the other 1-MCP category. This was partially offset by SmartFresh for Apple declines in certain countries in Latin America and North America due to unfavorable weather and a pioneer events. Gross profits for the third quarter was $32.2 million compared to $34.1 million in the prior year period. Excluding foreign currency impacts, gross profit increased 3.1%. Reported gross profit margin was 67.4% as compared to 69.4% in the prior year period. The lower gross margin primarily reflects the company's strategic transition to a more diversified product portfolio, unfavorable foreign currency translation, and higher material costs associated with inflationary pressure. For the nine months ended September 30th, 2022, gross profit was $76.6 million, representing gross profit margin of 67.6%. Excluding foreign currency impacts, gross profit increased to 1.6%. We're continuing to work hard on cost savings initiatives and discrete price actions to help mitigate these headwinds and expect some relief for the full year as we generate sales on lower cost inventories. While we always strive to maximize margin. Our primary focus is on generating gross profit dollar growth, consistent with our growth through diversification strategy. Research and development costs were $3.2 million in the third quarter of 2022 compared to $3.3 million in the prior year period. For the nine months ended September 30th, 2022, R&D decreased $1 million to $9.1 million compared to the prior year period. These decreases were primarily driven by the timing of projects. Our investment in R&D provides for increased the support of product diversification activities, to expand our registrations for new crops and geographies, develop new proprietary solutions, build out our coatings offerings and strengthen our technical services offerings in alignment with commercial growth objectives. SG&A expenses increased 10.2% to $13.5 million in the third quarter of 2022 as compared to $12.3 million in the prior year period, driven primarily by commercial investment initiatives. For the nine months, ended September 30th, 2022, SG&A expenses decreased 0.8% to $39.8 million, driven primarily by the timing of expenses. While cost discipline remains a focus for the business, we are also focused on resource allocation toward revenue generating investments to drive continued growth. Third quarter 2022 net loss was $4.6 million compared to net income of $0.8 million in the prior year period. For the nine months ended September 30th, 2022, net loss was $26.2 million compared to net loss of $8.3 million dollars in the prior year period. As a reminder, during the first quarter of 2021, the company recorded $14.1 million of other income, which are related primarily to the receipt of proceeds from the settlement of a litigation matter. Adjusted EBITDA decreased by $2.5 million to $17.9 million in the third quarter of 2022. For the nine months ended September 30th, 2022, adjusted EBITDA decreased 0.7% to $35.3 million compared to the prior year period. Decreasing adjusted EBITDA was primarily due to lower gross profit, which was a negatively impacted by changes in foreign currency and a product mix as compared to the prior year period. Adjusted EBITDA for the trailing 12 months ended September 30th, 2022 was $61.8 million, representing margin of 36.5%.  As a reminder, our adjusted EBITDA margin performance should be viewed in total for the year to align with the respective Southern and Northern Hemisphere seasons, where our higher second half sales volumes translate to correspondingly higher margins for the business. Cash used by operations was $2.8 million for the nine months ended September 30th, 2022 versus cash flow provided by operations of $26 million in a comparable prior year period. Adjusting for the one-time benefit of $14.4 million of litigation proceeds in the prior year period, normalized operating cash flow from operations was approximately $11.6 million for the nine months ended September 30th, 2021, reflecting strong working capital performance. The decrease in normalized cash flow from operations in the first nine months of 2022 was mainly driven by incremental investment in inventory to procure materials in advance to mitigate supply chain concerns, as well as timing of receivables as compared to the prior year period. For the nine months ended September 30th, 2022, capital expenditures were $2.6 million compared to $2.9 million in the prior year period. We continue to expect our annual capital expenditures to range from 3% to 5% of sales, consistent with our asset-light business model. From a balance sheet perspective, cash as of September 30th, 2022, was $35.6 million. Total debt was $261.3 million, and our $25 million revolver was undrawn as of September 30th, 2022. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Your first question comes from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Hi guys. Just really quickly on the take private proposal. I know, Clint, you said you can't give too much color, but any granularity on the process and timeline per final? Yes, or no on this proposal?
Clint Lewis: Yes, I mean, listen, first of all, thank you for joining in for the question. And as you can appreciate, I really can't comment -- consistent what was in the public filings, there's no specific date for the signing, that's something that both Paine Schwartz and the special committee of the Board are working in earnest to do. And once that is finalized, we'll be able to report it that time, but I really can't comment in any specifically further on that.
Amit Dayal: Understood. And then just moving on to the operations. I mean, it looks like this foreign exchange pressure, it's not just impacting you guys, we're seeing it across other companies as well that we cover. Is there a solution to this? Or do you just have to write it out and just deal with how the situation is playing out?
Clint Lewis: Yes, first of all, I mean, I appreciate the recognition. Listen, I've not listened to many earnings release, but again, you read the papers, you see the news, clearly, as companies are reporting during the third quarter, regardless of industry or business construct, you see the kind of unprecedented level of impact from foreign exchange. And for us, it's really notable on two fronts, right. So again, 80% of our business is transacted outside of the US and call it 50% of that business is coming from the EMEA and I would say, I can tell through my professional career where you saw the euro at the parity with the US dollar, and so, I think, like everybody, we need to continue to write -- run the business responsibly. We have to believe that we don't have the benefit of crystal ball at some point. The foreign exchange dynamic begins to temper. But I think at the core is really kind of responsibly writing it out as we continue to manage the business, manage the business for growth, and then responsibly, kind of manage where we can.
Amit Dayal: Okay. That's all I have for now. I'll take other questions offline. Thank you.
Clint Lewis: Thank you, Jamie.
Operator: Next question comes from Joel Jackson with BMO Capital Markets. Please go ahead.
Joel Jackson: Hey, gentlemen. I know it's early looking 2023. Let's do it. Can you think of, some offset in 2023, that might help offset some foreign currency, like, maybe you could prioritize some of the biggest offsets, you would see that might give a chance at some growth in 2023? Or how do you think about that?
Clint Lewis: Yes, I mean, let me start in the past to Graham. So again, none of us have the benefit of where foreign exchange is going to go. We'd have to assume in some responsible timeframe, whether it's 12 months, 18 months that you start to see some relief and some gap return back to the currency dynamic where what has been a headwind today becomes more of a positive, also recognizing the fact that we do transact, in Europe. Also, a number of the costs in terms of supporting the business in Europe are also denominated in that currency. And in some respect, the currency does become a good guy in that context. Clearly, in these also inflationary times, as we've discussed, we're trying to see responsibly where we can take price. But again, I think I also want to remind our investors and analysts that we are really the only public company in our space, alongside a host of smaller, oftentimes regional, and private companies. And again, while we can't dictate their strategy, they continue to demonstrate and what I would argue is a very undisciplined way, in terms of how they're trying to gain business by a lowering price, even at a time where you could argue the cost of doing business for everybody is increasing. And this is where we should responsibly trying to take price. So again, I think foreign exchange will work itself out, because we operate again, 50% of our businesses example, in the Europe, in Europe, and that's where the currency is impacting this most also the cost of doing business, there should also be an offset in time as well. But let me pause here and see if Graham wants to add anything else to that.
Graham Miao: Yes, that's exactly why right, Joel, find the very, very nature of our global business because of our presence around the world. That intrinsically, we do have a natural hedge, because of costs incurred locally. So to that extent, they're good guys in terms of cost of goods, and other P&L line in terms of operating expenses. So the - so that's where we see the offset. And then to the extent that FX continues to play a role, and we think it's probably not going to be forever, at some point, the dollar will come back to -- to its normal range, and the bats will, like every international business, so we'll write it out.
Clint Lewis: Yes, Joel, I think one tangible example where we get some benefit, it may be muted as it moves through the P&L was coming out of the acute part of the pandemic, that I think there was some smart purchasing with respect to inventory of smart, fresh. And again, based on the contract that we had, put us in a position where we were able to benefit on a relative basis from a lower cost, as opposed to kind of where a number of supplies were being increased. And obviously, SmartFresh, being our largest product category, do get some benefit as you think about it on an annual kind of inventory revaluation. But that's one tangible example where it has been a little bit of a benefit in terms of how we work to manage our inventory purchasing.
Joel Jackson: Thank you very much.
Clint Lewis: Thank you, Joel.
Operator: Next question, Ben Klieve with Lake Street Capital Markets. Please go ahead.
Ben Klieve: All right, thanks for taking my questions. The first clinical follow-up question -- and your answer to Joel's question. You're talking about competitors competing on price, the dynamic you've discussed historically. I'm curious if you can elaborate on if you see this dynamic happening, more or less today than you did say, I don't know earlier this year. And also, if you see that happening, still more on the SmartFresh Apple business or if you're observing it increasingly throughout your portfolio?
Clint Lewis: Yes. First, Ben, thank you for the question. Again, I think clearly the dynamics of the businesses that we do have competition for SmartFresh, as you well know, lost the patent a number of years ago and I think what really speaks to the durability of the business, the product and our business model is the relationships continue to be very sticky. We enjoy well in excess of 60% market share, if you think about it globally and therefore in some places even higher than that. And so, listen, the customers continue to grant us a premium in pricing, even in the face of continued offers to try to get enough bought product at a lower price. But I think for me, what helps to understand the dynamics of this business is, we're dealing with individual customers that have their own definition of value. And for us between not just SmartFresh, but other products, so the breadth of the portfolio, the extent of the services that we provide, the quality of our people, how we kind of put that together in a way that is relevant and resonates with each of these unique customers has really what makes and we'll continue to make this business very durable and sustainable for the long-term.
Ben Klieve: Okay, very helpful. Thanks, Clint. Another one for not sure who this is better addressed to around the harvest delays and wondering if you can help us kind of understand the magnitude of the delay and the degree to which delays are pushing product from the fresh market to the process market. And kind of your early thoughts on seasonality in the second half outlay, if you think it's going to be similar to last year? Or do you think there's going to be more concentrated revenues be more concentrated in the fourth quarter?
Clint Lewis: Yes. First of all, great, great questions. Let me try to unpack that in a number of different ways. So first, again, it's a good reminder, I'm surprised we were almost through the Q&A, we haven't remind that, we manage the business, on seasons, not on quarters. And as best as it kind of can translate, you could call it half, right. So the first half of the year really is aligned to the Southern Hemisphere markets and the second half, which is bigger for us, obviously, is aligned to the Northern Hemisphere, and is invariably the case as you get between quarters. And we saw this last year I will remind the audience that last year, this time, we talked about a delay in Europe. And as we finished or got towards the end of the fourth quarter, we did get again, a good surprise benefit as you had some late varieties that were harvested. And the customers brought those to value. And they obviously needed the help of SmartFresh and we benefited from that. Conversely, you're seeing in our third quarter results, your date, we saw an early start to the season in Europe that's benefiting in SmartFresh, but conversely, we're seeing a delay in the harvest dynamics in Pacific Northwest, almost exclusively driven by weather. If you remember, last year, Pacific Northwest was impacted by an unprecedented heat wave for a number of weeks that really stressed and challenge channeled the crop and the crop was already down last year, specifically to your question, and we get this from the US Apple reports. So this is outside of AgroFresh, the volume or the crop in Pacific Northwest, roughly at this point is about 11% down compared to last year. And the other way I would look at it is when we model on a five-year average, because that kind of takes out the noise of weather or other impacts in one year. So we kind of look at that five-year average. And a lot of the external analysts that track the crops also do the same. So we get aspect of that five-year average. And oftentimes, if you have a challenging crop one year, there's a good chance you have a bumper crop the next year, doesn't always play that you can't forecast Mother Nature, but Pacific Northwest specifically is down about 11% compared to last year and down 15% on the five-year average. And that and being down 11% last year was already last year was challenged because of the unprecedented heatwave that the crop had.
Ben Klieve: Got it. Got it. Thank you. Yes. Mother Nature is a -- she's a fickle mistress, I understand. One…
Clint Lewis: But Ben if I could just into -- sorry, my friend, if I could just interject again, it just -- I'd be remiss if I didn't also use that to say this is yet another reason of the importance of our diversification strategy, and the continued success that we're having a diversification. Diversification is not just a means to drive incremental growth. It is also a great risk mitigation hedge, especially in agriculture, where you're again, you can't predict Mother Nature. So as we continue to grow our revenue base through diversification, naturally, we become less dependent on any one product or portfolio. Any one crop, any one geography, anyone can customer, and we're well on our way to continue to drive that diversification. Sorry, my friend, if you can ask the next question.
Ben Klieve: No, no, you're good and point taken. Yes, you guys have done an exceptional job of building that part of the business over the last 24 plus months. So hear you loud and clear. One more, and then we'll get back in queue. Graham, I'm wondering if there were any costs associated with the pending acquisition in the third quarter? And if you expect any costs associated with this in the fourth quarter?
Graham Miao : The cost for the pending transaction will be treated consistently as we did in the past, it will be if you look at our adjusted EBITDA reconciliation table, typically, these costs will be considered adjusted, right, now recurring infrequent in nature. So that will not be part of the adjusted EBITDA.
Ben Klieve: And so I guess a quick follow-up, I mean, you've got 525,000 of other non-recurring costs that I assume that would be wiped into I guess, does that 525,000 that entirely you'll cost go through it this? Is there a bunch of other stuff going on, just trying to understand the magnitude of any costs in the third quarter, even though they are backed out of the adjusted numbers?
Graham Miao : Yes. So we -- right now, obviously, this transaction, which is just -- was just announced. So right now we do not have visibility in terms of the total transaction costs at this moment.
Ben Klieve: Okay. Very good. Very good. All right. Well, thanks for taking my questions. Best of luck you're running out the year. I'll get back in queue.
Graham Miao : Thank you.
Operator: Our final question comes from Gerry Sweeney with ROTH Capital. Please go ahead.
Gerry Sweeney : Hey, good afternoon, Clint, Graham. Thanks for taking my call.
Clint Lewis : Thank you, Gerry.
Graham Miao : Thank you, Gerry.
Gerry Sweeney : I had a question on growth. I'll go to the maybe from a different text. Obviously, you got registrations out there. If you're looking out to next year, where do you put allocate some of the money? Is it marketing is the continued pushing on registrations, sort of what this registration pipeline look like? And I'll leave it there and then have a follow-up.
Clint Lewis : Yes. I appreciate that. Again, we report on SG&A, but really where the attention should be is on the value generative investments on the sales, the marketing and the R&D side. To your question, the areas that will continue to be critically important to fuel our future growth is one, the continued focus on the regulatory side, to continue to secure the register -- to generate the data and to secure the registrations for the use of our products across other crops in other geographies. I will also remind that, from an ROIC standpoint, the most effective and efficient use of R&D dollars are in the ways that we focus it, which is largely on the regulatory and on the development. So R&D can mean different things to different stakeholders in this business, Rs not early stage, high risk. Speculative, again, there's an important role for it. But the vast majority of our business is not in the early stage high risk research. It's more in the regulatory side where the regulatory path is clear, it's defined. And therefore, we have what we call a high PTRS, probability of technical and regulatory success to bring those products to market. The other side, the D, again, unlike Discovery, which is again, high risk, and again, variable return, R is in development, where we take known actives, known substrate, and we generate the data on how it responds to given pathogens across different crops and across different geographies. So again, from an inefficiency standpoint, from an ROI standpoint, very, very focused, very effective. The other is on the sales and marketing side and I would prioritize at first is on the customer facing roles, both for sales and customer facing for our technical service. And these are our local crop experts that work hand-in-hand with our customers, along with our sales account managers to really not only help position our products in the particular customers given their unique operation, but also help to troubleshoot in a number of different ways. And so as we look to expand diversification, there's the regulatory component. But also, it's about putting appropriately and responsibly more boots on the ground. Again, we're not talking about armies, these are onesies and twosies in key strategic markets. I draw attention to markets like California, markets like Mexico, what we're doing in South Africa, exciting opportunities for growth in markets like Egypt. These are areas where we continue to see tremendous opportunities, phenomenal growth, but diversification growth. And then the marketing sides is really about how do we equip those teams with the right, compelling data and support tools to give them a compelling reason to use our products.
Gerry Sweeney : Is the registration regulatory funnel bigger this year than last year, just trying to understand how much of an opportunity is in that pipeline? And obviously, some are going to come to fruition at different points that you're looking at it, but just want to understand that?
Clint Lewis : Yes, I think so, one, to the first part of your question. The areas of strategic investment are R&D. So this is areas where you should see smartly in increasing in our investment in R&D, again, in the areas that we've talked about. And again, the regulatory path in a number of these markets can range from 18 months, two years, two and a half years, depending on the market, or the substrate. This year through the third quarter, if you notice, you see less spend in R&D than the same time last year. But that is really a function of timing of investments. Some of those may pick up in the fourth quarter, but some of that may also spill into the first half. So it's more timing. But again, I would say from the standpoint of programs and projects, I would say directionally and sequentially more driven from the prospects that we see from a diversification standpoint.
Gerry Sweeney : Got it. I appreciate it. Thank you.
Clint Lewis : Yes. Thank you.
Operator: I will now turn the floor over to management for closing remarks.
Clint Lewis : Okay. Operator, again, may -- he may have withdrew his question. But I believe that Ben Klieve was going to get back into queue. I don't know if he's still on, or if he's still wanting to, but I want to give him an opportunity, if he want to ask a question.
Operator: Ben, your line is live now. 
Ben Klieve : Thank you, Clint. I maybe I misspoke, I appreciate the opportunity, but I'm in good shape.
Clint Lewis : Okay. I didn't want to make sure, we didn't pass you by, but thank you. Operator, thank you. I'll turn it back to myself then. So listen, as has been said, a number of companies not unique to AgroFresh are having to deal with the -- in some cases of the unprecedented level impact and foreign exchange, and for us, largely given the parity between the dollar and the euro. These things will eventually subside. It does not change the structural nature of the business, the focus that we're on, and the progress quite frankly, that we're having. And that's why it was important for us not just to highlight the reported financial results, but also to equally show the operational or constant currency, so that you can see the continued not only focus on driving growth, but the continued results in driving growth. And so continue to feel good about the progress that we're making. I continue to feel really good about the opportunities that lie ahead of us to continue to bring that much more value to our customers along the post-harvest space. So thank you for your questions. Thank you for your engagement and thank you for your support in AgroFresh.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.